Operator: Ladies and gentlemen, hello. And welcome to the MP Materials Third Quarter 2022 Earnings Call. My name is Maxine, and I will be coordinating the call today.  I will now hand you over to Martin Sheehan, the Head of Investor Relations to begin. Martin, please go ahead when you are ready.
Martin Sheehan: Thank you, Operator, and good day, everyone. Welcome to the MP Materialsâ third quarter 2022 earnings call. With me today from MP Materials are Jim Litinsky, Founder, Chairman and Chief Executive Officer; Michael Rosenthal, Founder and Chief Operating Officer; and Ryan Corbett, Chief Financial Officer. Before we get to our remarks, as a reminder, todayâs discussion will contain forward-looking statements relating to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the companyâs actual results to differ materially from these statements are included in todayâs presentation, earnings release and in our SEC filings. In addition, we have included some non-GAAP financial measures in this presentation. Reconciliations to the most directly comparable GAAP financial measures can be found in the appendix to todayâs presentation and earnings release. Any reference to our discussion today to EBITDA means adjusted EBITDA. Finally, the earnings release and slide presentation are available on our website. With that, I will turn the call over to Jim. Jim?
Jim Litinsky: Thanks, Martin, and thank you all for joining us today. Let me start with the plan for todayâs call. First, I will open up with highlights of the quarter, Ryan will then review our financials and KPIs, Michael will then provide an update on our Stage II optimization at Mountain Pass, I will then return and close with a brief update on our Stage III magnetics business, before opening things up for Q&A. So letâs get started on slide four. I am going to change the usual order of my highlights commentary and start with some exciting news. In September, we reached a major milestone. We began commissioning Stage II at Mountain Pass. We are starting test operations in several circuits, beginning with concentrate drying and roasting. As you may recall, reintroducing roasting is one of the key strategic decisions we made for our Stage II optimization. Roasting of bastnaesite concentrate was pioneered at Mountain Pass in the 1960s and was critical to the site success for many decades. Roasting leverages the natural advantages of bastnaesite ore, ensuring high NdPr recovery, while significantly reducing the reagent and energy intensity and hence the cost of the refining process. Roasting is a proven and well-accepted industry process for refining bastnaesite ore. In combination with other Stage II enhancements, the reintroduction of the roaster positions us to return Mountain Pass as a global low cost producer of NdPr oxide, thereby continuing what we have already done in rare earth concentrate. I want to stress that these are very early days in the transition to Stage II. We have a lot of painstaking work ahead that will unfold over the next year. Commissioning will certainly not be a linear process, there will be ups and downs and starts and stops, so be prepared for some lumpiness in our results during this transition. But that said, I am proud of how relentlessly the MP team has been executing so far. When we consider what has happened this year in geopolitics, the challenges across a weakening global economy and the continued disruptions across supply chains, todayâs milestone is amazing. This is probably the most challenging real operating economic environment most people working today have faced in their careers. We are therefore moving forward with commissioning with humility, but we are confident in our ability to execute over time. We have an outstanding team with unwavering determination. Turning to Stage III. In September our magnetics team also reached a major milestone. We talked off the structure of our magnetics factory in Fort Worth completing the building shell in just seven months and began the build out of internal utilities and infrastructure. As we advance construction, we are simultaneously adding significant depth and breadth to our team and rapidly growing the organizations, engineering and manufacturing capabilities. The magnetics team is focused on advancing the state-of-the-art with respect to manufacturing technology and innovation, and rapidly designing and sourcing the long lead equipment we need to begin production. As with Stage II, the Stage III team has many challenges ahead, but we are off to a solid start. We are making substantial progress. Moving to our third quarter results, despite the significant Stage II related work going on in Mountain Pass, the Stage I operation continues to deliver strong production levels, while keeping costs under control. We produced our second highest quarterly volume of nearly 10,900 metric tons of rare earth oxides contained in concentrate and sold nearly 10,700 metric tons. And with regards to our financials, if you heard us speak during the third quarter conference season, you would have heard our commentary on the decline in NdPr prices quarter-on-quarter. We believe the decline was mainly due to global economic conditions and the widespread lockdowns in China. Despite that decline and a stronger dollar, average prices were up materially from a year ago, highlighting the continued strong demand for NdPr and by extension our concentrate. Ryan will discuss more on pricing and financials in a moment. But in summary, our year-over-year financial performance was very strong. Revenue was up 25% to over $124 million. Adjusted EBITDA was up 34% to over $91 million. Our adjusted EBITDA margin expanded 5 points to 73% and we earned $0.36 per share in adjusted diluted EPS, an increase of 38%. This brought our year-to-date normalized Stage I free cash flow to approximately $321 million. Thatâs an impressive 74% free cash flow margin on Stage I for the first nine months of the year. With that overview, let me turn the call over to Ryan for some additional details on our KPIs and financials. Ryan?
Ryan Corbett: Thanks, Jim. And Jim just highlighted Q3 was another strong quarter operationally and financially and we delivered it even as Stage II construction activity at Mountain Pass reached its peak. On slide six and starting with the bottom left graph, as Jim mentioned, production volumes remained very strong at 10,886 metric tons, and although, down about 9% from last yearâs record production, we were about in line with Q1âs production output as we guided to last quarter. Recall, last yearâs production results were driven by record mineral recoveries and extremely high up times. We indicated those production levels were not likely to be reached every quarter. So, coming within 10% of our all-time record, while focusing on critical Stage II activities is a testament to our team at Mountain Pass. Moreover, Stage I concentrate production levels north of 40,000 metric tons on an annualized basis continued to support our expectations for Stage II NdPr production, although we will always aim higher. Sequentially, third quarter production levels were up about 6%, mainly due to the impact of our biannual week long plant turnaround in the second quarter. I would point out that we just successfully completed our October shutdown and therefore you should see Q4 production reduce sequentially and be more comparable to our second quarter output. Moving to the top left chart, sales volumes continued to track production closely with slight variations based on the timing of shipments. Given the nature of our offtake agreement and the demand for our concentrate, we generally see sales volumes closely tracking production. However, and looking forward to the fourth quarter, as we started commissioning of Stage II, we are beginning to divert some volumes away from sales and into the charging of our arc circuit. This will somewhat reduce our sold volume as a proportion of production. Of course, part of this is a temporary working capital item, as we charge circuits to eventually begin production of refined products, which Michael will discuss more in a minute. Moving to the top right, as Jim mentioned, pricing remained very strong relative to a year ago, up over 50%, highlighting the overall strong demand for our concentrate and this includes a modest impact from foreign exchange moving against us versus last year. Sequentially, pricing was down about 16% as we had highlighted on our last earnings call, driven by the market price of NdPr as Jim mentioned. Recall that NdPr comprised around 16% of the rare earths in our ore body and on a P-times Q or total value basis make up over 90% of the value of the rare earth in our concentrate. As such, the price of our concentrate is highly correlated to the price of NdPr and due to the timing of our price negotiations with actual product delivery, there was a roughly one-month lag in our reported realized pricing compared to the spot rate of NdPr. NdPr pricing has recently stabilized in the low $90 range, which would suggest more than a 25% decline in sequential realized pricing, assuming that spot rates hold through the rest of the fourth quarter, resulting in realized pricing that would be below last yearâs fourth quarter on a dollars basis. Recall, it was about this time last year that pricing for NdPr began to climb rapidly and FX has obviously moved significantly year-over-year. Lastly, on the bottom right graph of the slide, core Stage I production costs remained very low at about $1,430 per metric ton. This is up slightly from last year due to the scale effects of large production output and sales of a year ago, while sequentially core costs were up slightly due to continued headcount growth. Stage II related production expenses were similarly impacted relative to prior quarters. We will continue to hire as we move through the fourth quarter and into next year. Initially, some of these labor cost will fall under startup costs until the various sections of the plant are fully commissioned and operating at expected rates. I would like to add that understandably, we get the occasional question on the impact that inflation is having on our business. We are not immune to the many cost increases impacting the economy. For example, diesel fuel for a mining fleet, as well as trucking cost to the port have all been impacted. Generally speaking, our operating efficiency has mostly offset many of these increases. I would also note that we recognized the impact inflation is having on our employees. They are after all the lifeblood of this business, and have been instrumental in our success to-date. To counteract the effects of inflation, starting in mid-July, we began issuing fuel statements to all of our non-executive employees. In addition, beginning this week, we issued nearly all non-executive employees a healthy early cost of living pay increase. This is separate from our annual merit reviews that take place towards the end of the year. So while we may see modest cost increases come through our P&L from these efforts, we believe supporting our workforce in these challenging times is critical to our business at large. We believe that fostering an owner/operator culture will help keep employee morale high and turnover very low, which is another competitive advantage in the long run. Moving to slide seven. Revenue increased 25% year-over-year, a strong realized pricing more than offset the comparative last yearâs record volumes. This flowed through to our adjusted EBITDA, which was up 34%, our margins, which increased 5 percentage points and our adjusted diluted EPS, which increased 38%. Conversely, lower sequential realized pricing of second quarter records resulted in modest declines in our financial metrics quarter-over-quarter as you can see on the chart. The strong operational and financial performance resulted in continued strong cash generation out of Stage I, which is shown on slide eight. Normalized Stage I free cash flow was approximately $93 million in the quarter, bringing the year-to-date total to $320.8 billion. And company operating cash flow has funded all of our growth CapEx so far this year, as we remain positive free cash flow year-to-date. Total CapEx was about $92 million in the quarter and as such, we would expect CapEx to further ramp into Q4. Importantly, we remain on track with our projects from a schedule and cost perspective, but the timing of payments has been better than originally modeled. We continue to expect a total CapEx investment of approximately $700 million to complete our four major projects, Stage II light rare separation, heavy separations, the construction of our Stage II magnetics facility in Texas and recycling. But given our year-to-date spend and payment timing factors, such as holdbacks and retentions for the final completion of Stage II and down payments for long lead Stage III items, a greater percentage of that cash deployment will spill into 2023 versus 2022 as compared to our original expectation communicated in February. Regarding the balance sheet, as you will recall last quarter, we took advantage of the rise in treasury rates to invest a portion of our cash balance into higher yielding, short-duration U.S. government-backed securities. This quarter, we increased that investment, and as of September 30th, we now have approximately $836.3 million of short-term investments, in addition to $428 million of cash and cash equivalents, for a total balance of $1.26 billion of cash equivalents and short-term investments, which is virtually unchanged from the end of the second quarter despite the ramp in capital expenditures. You will also see the impact of this move from cash into short-term investments on the cash flow statement when we file our 10-Q tomorrow. Before moving on, I did want to address a couple of housekeeping items for you. First, regarding adjusted net income and diluted EPS. Historically, we had excluded depletion expense when calculating our adjusted net income, and therefore, also our adjusted diluted EPS. This was to aid comparability between our pre and post-IPO financials. As pre-IPO, we recognized a royalty expense for our mineral asset, versus our current treatment of recognizing depletion on the stepped-up book value of our consolidated mineral interest. Going forward, we are no longer excluding the depletion expense from our calculations and have presented prior periods on an apples-to-apples basis. Second, as we have previously discussed in our filings, we made a request to rezone certain of our properties at Mountain Pass. We are pleased to have received final approval from San Bernardino County and the division of mine reclamation on this rezoning and the related changes to our reclamation obligation in September. There will be additional details in our 10-Q, but in short, this change result in materially lower estimated reclamation costs, reducing our asset retirement obligation or ARO liability on our balance sheet by over $13 million. The GAAP accounting for this change required us to reduce PP&E, i.e., the carrying value of the relevant assets by $10.4 million, but charge the remaining $2.7 million as a credit to our depletion, depreciation and amortization expense. So for this quarter, you will see a discrete credit in DD&A, which should not repeat going forward. Looking forward to next quarter, I have already provided some commentary on pricing and volumes versus this quarter and versus the year ago period that will provide some quite challenging comparison. Importantly, the fourth quarter will be the beginning of several transition quarters as we prioritize commissioning of our Stage II assets above all else. We expect volumes held back for commissioning and charging of the circuits to ramp through the fourth quarter and continue into next year. But of course, we will continue to work to maximize the earnings power of the Stage I business as we get Stage II ready and ramped. In closing, I want to reiterate our conviction in our markets and our operating model, with Q3 representing another strong quarter across the Board for the companyâs operations. Production cost control and demand for our product continue to highlight the significant early success of our three stage strategy, which gives us additional confidence and our ability to execute on Stages II and III. With that, I will turn the call over to Michael to give you some additional detail on our Stage II progress. Michael?
Michael Rosenthal: Thanks, Ryan. During the quarter, construction continued and weekly progress was steady, concrete, steel and major process equipment installation has largely been completed. Secondary mechanical equipment, piping, electrical and instrumentation represented the predominant effort in the quarter as we would expect at this point of the project. Completion of construction is now on-site and we see no major impediments to completion, other than time and our insistence on quality control. Slowly and soon quickly, we will be pivoting from construction mode to all-out commissioning mode. This starts with pre-commissioning efforts that incorporate the examination of each process boundary to identify punch list construction items, verify as build to piping and instrumentation diagrams, confirm the safe operability of equipment, complete pressure testing and line flushes, verify all utility services and perform other pre-startup checks. Next, we will verify electrical terminations, complete instrumentation loop checks, equipment bump test and begin enabling the automated operation of all equipment and control systems in coordination with our equipment vendors and commissioning team. Once this is complete, the real final commissioning begins and we will move on to the next circuit or system boundary. In September, we reached an exciting first milestone with the commencement of commissioning activities in the concentrate, filtration, drying and roaster area. Initial fills of the filter feed tank have begun and rare earth concentrates has now been run through the filter press and filter cake has passed through the rotary drier. We are addressing control systems and mechanical equipment issues as they arise. We are planning for initial runs of dried concentrate through the roaster in the coming weeks. At the same time, construction is nearing completion in the salt crystallizer area and the pre-commissioning steps and loop checks are starting here as well. Over the past several months, many of the legacy circuits have completed their upgrade and re-commissioning efforts, and are awaiting fresh feed. In this camp includes the impurity removal circuit, the heavy light rare earth bulk separation process and the NdPr separation facility. Our waste brine treatment and concentration facilities are now substantially ready for operation as well with various expansions and enhancements underway. It is an exciting time at Mountain Pass, we are growing our teams in preparation for operating and maintaining the Stage II assets, completing standard operating procedure development, expanding training and getting into the slug of commissioning. As mentioned, we have started to feed a limited amount of rare earth concentrate into the new circuits to feed them. We will then begin commissioning and conducting performance testing largely in process sequence to confirm the ability to meet design flow rate. To the extent necessary or required, we will test out of process order such as we have with our brine treatment circuit. As all circuits are commissioned and troubleshooting proceeds, we will then feed the circuits more continuously and at increasing throughput. The volume of material dedicated to the production as oxide versus concentrate will ramp up as we reach stability. The time lag between concentrate production and the associated rare earth oxides will be longer than we have historically seen and there will be a relatively small permanent investment in work in progress. But once a greater level of stability has been achieved, we should see this gap begin to normalize. As Jim mentioned, we expect commissioning to be a discontinuous non-linear challenge for the balance of the year and into 2023 and we will not sacrifice long-term sustainability and product quality to hit near-term production goals. So we cannot and will not try to predict our exact trajectory and we will need to overcome a series of expected problems known, unknown and without a doubt, certain amount of rework and remediation. However, what is also known is that we have an outstanding dedicated team many with hands on experience and successfully operating the legacy process. That is up to the challenge. We also have a stable and highly profitable core business that can largely continue, while we work through the commissioning process. With that, I will turn it back to Jim.
Jim Litinsky: Thanks, Michael. Hopefully Michaelâs commentary offers a more detailed view into the complexity of the challenges involved in completing one piece of our mission. It may sound daunting, but it actually speaks to the culture we have built and the value of the long-term franchise we are building at MP. As I said earlier, this is probably the most challenging global operating environment most people working today have faced in their careers. Despite this, we have steadily increased Stage I production. Mountain Pass has never operated better. This means, we are generating an enormous amount of cash flow in our upstream business. Against all that, we have thought our way through construction and other challenges to begin Stage II commissioning. Simultaneously and maybe because we really like moving multi-billion dollar supply chain, take a look at slide 11. This picture is awesome. In what was an empty field in Fort Worth seven months ago, now stands the future center of the American magnetics industry. This building looks big on the page, but in real life it feels a lot bigger. As I mentioned earlier, we already have a completed building shell and are starting to build out of the utilities and infrastructure. This is the most obvious signs of Stage III progress. But under the surface, we are doing much more to make sure MP becomes a vertically integrated magnetics champion. In addition to developing our people and capabilities, we remain committed to our buy, build and/or JV approach to Stage III growth. We continue to spend time with prospective customers, potential partners, and of course, GM. We are fortunate to have a high volume committed customer in General Motors. Beyond electric cars, new growth opportunities will emerge. Wind turbines are set to accelerate. Thanks to geopolitical considerations, as well as the recently signed IRA bill. It seems obvious to me that there will be a robot in every home one day, just like a computer and a phone. It seems obvious to me that drones and other forms of electric transportation will eventually become much more pervasive. These technologies and many others will drive incremental demand for permanent magnets for decades to come. MP is in control of one of the worldâs preeminent rare earth resources is a source of great strategic competitive advantage. The synergies between our Stages II and III are also very important to consider. In the manufacturing process, as much as 30% to 40% of magnetic material may be lost as byproduct. Absent the ability to recycle that scrap, the economics and sustainability of magnetics manufacturing is very challenging. Our Stage II and III teams are working now to define and pilot the optimal point across the entire flow sheet to reintroduce that material. They are doing the same with end of life magnets. Our vertical integration freeze the team to evaluate these fundamental concepts from a first principles perspective. Long-term, the importance of recycling in closing the loop is obvious, developing the knowhow and scale to lead this space now is enormously valuable. So to conclude, we are proud of what we achieved this past quarter, and we are very bullish about MPâs prospects. We know we have a lot of challenges to overcome in the months ahead as we commission Stage II and then begin refining at scale at Mountain Pass. And in what feels like a treacherous economic landscape, we have a cash flowing upstream business and a fortress balance sheet. This really matters as the cost of capital is becoming an even bigger risk for many. Most importantly, we have a strong owner operator culture that is battle tested and focused. With that, letâs open it up for questions. Operator?
Operator: Thank you.  Our first question comes from Corinne Blanchard from Deutsche Bank. Please go ahead. Your line is now open.
Corinne Blanchard: Hey. Good afternoon. Thank you for the update and thanks for taking the time. My first question would be on 4Q, really focusing on the near-term. I think you made pretty clear that volume would be similar to 2Q, just on scheduled maintenance. But I would want to get more detail on the pricing that you are seeing. I believe you mentioned 25% sequentially down when looking at spot price, if you can just remind us on the timeline that you have for this spot and maybe any color that you can guide on the pricing? And then my second question would be just trying to understand already the timing of the commissioning for Stage II, if anything that you can give us? Thank you.
Ryan Corbett: Hey, Corinne. Itâs Ryan. I will take the first part and see if Michael has anything to add at the end on commissioning. As it relates to the fourth quarter, you are right. We covered a bit in the prepared remarks the fact that we expect production to mimic our last non-shutdown quarter. From a sales perspective, I think, thereâs a couple of things to think about, namely, we made the point that we will have been and will continue to divert certain product away from sales and into the charging of circuits. Itâs somewhat impossible to predict exactly what that will look like over the course of the quarter. But to give you a rough sense of how to think about it over time, we could end up taking up to two weeks of production for use of charging all of the circuits as we make our way through commissioning. So I would just think about that taking place over time as sort of the permanent investment in working capital that Michael referenced in his remarks. As it relates to pricing, you are right, we did mention what we see at this point if pricing were to hold was a greater than 25% decline in sequential realized pricing. Itâs a little bit difficult to perfectly match up our concentrate price to the spot price of NdPr you guys see on your screens. It moves very, very similarly but not perfectly. Obviously, there is a unique and discrete market for concentrate versus oxide. But from what we see at this point, as you guys can see on your screens, both with the Chinese domestic price and the movement in FX, the peak to trough pricing decline was almost 60%. And so when you have got 16 sequentially in this quarter that we just reported here, certainly, we are going to feel the remainder of the impact primarily in Q4. So, hopefully that gives you some color. Michael, I will flip it over to you, if you have any thoughts on Stage II timing?
Michael Rosenthal: Yeah. Thanks, Ryan. Thanks, Corinne. As we said, we are excited to be starting the commissioning process and soon we will be converting from summer construction mode to all our commissioning. Like we also said, itâs difficult to predict the exact trajectory, so I probably canât do it right now. But every day we are closer to starting to produce oxides.
Corinne Blanchard: Thank you. I know itâs difficult to give like probably timing, but are we talking about and maybe your comment like in the previous quarter, are we looking at three months to six months, are we looking more, like, end of next year to be fully commissioned in rent, but just trying to get an idea there?
Jim Litinsky: Hey, Corinne. This is Jim.
Michael Rosenthal: Yeah. I thinkâ¦
Jim Litinsky: How are you doing? Oh! Oh!
Corinne Blanchard: Hi.
Jim Litinsky: I was just going to talkâ¦
Michael Rosenthal: Yeah. Go ahead. Go ahead, Jim.
Jim Litinsky: I was just going to say that I â yeah. I was going to say, Michael, you and I probably going to say the same thing. But I think the way to think about it is, we still remain confident that we are going to reach our run rate goal next year. But we just want to be thoughtful about what the next three months to six months look like, we made clear that this is a transition, we want to be mindful of that, but with everything that we see, we remain confident that we are going to hit that run rate. If you want to add anything, Mike, go ahead?
Michael Rosenthal: Thatâs what I would say. Thank you.
Jim Litinsky: You are going to say the same thing. Yeah.
Corinne Blanchard: All right. Thanks.
Jim Litinsky: Our next question.
Corinne Blanchard: All right. Thank you. I will take the rest offline. Thank you, guys.
Jim Litinsky: Yeah.
Operator: Our next question comes from Matt Summerville from D.A. Davidson & Co. Please go ahead. Your line is now open.
Matt Summerville: Thanks. Jim, In your prepared remarks, you had mentioned just the IRA and I just wanted to get maybe your most updated views, big picture on how MP is positioned to benefit from a handful of things that have happened legislatively and just the overall policy backdrop, the latest which you at least mentioned, but maybe a little bit of a deeper dive holistically on all that?
Jim Litinsky: Sure. Yeah. Thanks, Matt. So thereâs two major provisions of IRA. The first is 45x, which is a 10% operating expense credit for critical materials and so we are confident that Mountain Pass will be covered by that. So thatâs a very, you can look at the expenses there and take 10% and thatâs that credit and thatâs quite a bit of money. So we are excited about that. The other -- and by the way, that is a perpetual credit and so that doesnât sunset like some of the others mentioned in the bill. The other is a 48-C, which is an investment tax credit, which is a 30% credit for supply chain. And so we are looking at that very closely. I would caution in saying that the final regulations arenât out yet. So you donât exactly know how itâs going to be implemented. But we feel good that we should be able to find an opportunity with all of the stuff we expect to build that that will be a pretty large benefit for us. And again thatâs just 30% of spend, so if in theory, you go out and spend $1 billion on a magnet facility of 30% credit would be at $300 million credit. The other thing I would just say, which is, we have seen historically bipartisan introductions of tax credits for permanent magnet production. And so, hopefully, after the New Year when the new Congress is saying maybe we will see something on that front as well, which would be an added benefit. So thatâs sort of the backdrop.
Matt Summerville: Thank you. And then just a follow-up, Ryan, can you help me understand how Stage II production costs actually retreated a little bit on a quarter-on-quarter basis? And then is there any sort of bandwidth range or that you can maybe help us out with what you think that might look like in Q4 or into next year, the run rate of those costs?
Ryan Corbett: Sure. The biggest change when you look at things sequentially is moving out of a quarter with a shutdown. So you get sort of the double whammy in quarters where we do our planned turnaround of both lower production and sales generally from a denominator perspective, in addition to the fact that you tend to have increased costs from onsite contractors and other maintenance expenses hitting at the same time. So if you sort of track production costs over time, you tend to see that effect between the quarter. So hopefully that also answers the second part of your question, which is, I would look more towards how things looked in the second quarter for the fourth quarter with the understanding that costs have continued to move up over time as we have seen throughout the year. And in addition, as we start to commission Stage II, we are continuing to bring headcount on pretty rapidly both specifically at Mountain Pass and elsewhere. So hopefully that gives you a little bit of a sense of kind of think about things sequentially.
Matt Summerville: Yeah. Perfect. Thank you, guys.
Jim Litinsky: Thanks.
Operator: Thank you. Our next question comes from Robin Fiedler from BMO Capital Markets. Please go ahead. Robin, your line is now open.
Robin Fiedler: Hey, guys. Question on CapEx, maybe you can elaborate on what exactly caused the push out for spending for some of the Stage III long lead items there? And does that mean that made the commissioning might be pushed out a bit as well, at least for the metals and alloys part of it?
Ryan Corbett: Hey, Robin. Itâs Ryan. I can take that. I would not read at all into the timing of capital as relating to any change in schedule. We obviously have to make a lot of assumptions pretty far out when we set our overall capital guidance for the year and given the scale of projects that we have got going on. Itâs often difficult to be able to predict whether a cash payment is going to head on 12/31 or January 1st, and that obviously makes a big difference for capturing the calendar year. And so, what Iâd say in terms of the way to think about CapEx for the remainder of this year and sort of why the bit of a push out is, as we complete the Stage II commissioning as you would expect from us, we are pretty maniacally focused on maintaining retentions and hold backs in areas as we get to the finish line. And so all that means is that in areas we are putting the finishing touches on, you will actually see the cash come probably right after that. So that drives some of the effect. And then as well for the Stage III long lead equipment, we just have not had the same level of requirements for upfront down payments on some of these long lead items as we have seen in the past and as we have seen in Stage II. And so we continue to make very good progress. We have no change in expectations from a timing perspective at this point, but itâs purely a timing of cash flow as opposed to a real change in schedule.
Robin Fiedler: Okay. Thanks. And just as a follow-up. This is a bit more of a forward-looking question. But with everything going on the legislative support and what could be coming from that, how do you think about, this is early to say, but scaling out the magnet business across the deck. And I know, Jim, you talked about goals for potentially 10,000 a ton at some point magnets with -- again with -- whatâs going on political support, is there an added incentive to maybe speed that up, assuming that things go smoothly initially?
Jim Litinsky: Yeah. Thanks, Robin. So hereâs what I would say, we -- and this goes back, obviously, the last few months the ranker, if you will, about getting the supply chain home and expanded, just continues to grow with everything we see legislatively, geopolitically et cetera. But itâs also been that way for a while, we have not been demand-constrained so to speak, the level of demand just continues to grow, but demand has not been our constraint. Really the key constraint is execution. Thereâs a lot of people out there that like to talk, we like to build stuff and get it done right. And so we just -- we are moving as quickly as we possibly can, but making sure that we get things done right. And if you just think back and I know you have probably heard me say this a couple of times, but when we went public a couple years ago, we made clear that we thought the magnetics business was certainly a key strategic vision but a 2025 plus event. And now look at Slide 11, itâs November of 2022 and we have got the shell built. And so, on -- I think on every front, we have been really accelerating this mission and we will continue to do so, and as the demand grows, obviously, that makes -- that increases the value of -- the strategic value of what we have, but also just the value of all of our in-placed assets. So we will keep at it.
Robin Fiedler: Great. Thanks.
Jim Litinsky: Yeah.
Operator: Thank you. Our next question comes from Carlos De Alba from Morgan Stanley. Please go ahead. Your line is now open.
Carlos De Alba: Yeah. Thank you very much. Good afternoon, guys. So a couple of questions on the -- could you comment on the trends that you expect to see on the feed grade and recovery in Stage I, obviously, things are, as you mentioned, you are to be bumpy. But just you alluded to that in your comments, are on production, what should we expect in the coming quarters?
Michael Rosenthal: Thanks, Carlos. I guess I would just say that we are pretty pleased with the production in the third quarter and was the second best quarter ever compared to last third quarterâs record and that our current production is consistent with our 6,000 ton NdPr plans. As you mentioned this quarter -- this year third quarter had slightly lower feed grade compared to last. I think we mentioned in relation to the SK-1,300 that we are looking to long-term optimize the value of our reserve base and that does include including some additional lower grade material in our feed, but we have a good idea of what will come out of the ground over the next 35 years. But what comes out in any one period and what we blend to well in a relatively tight band vary slightly quarter-to-quarter, but we are always working to optimize our reagents in our processes and experimenting some periods everything comes together perfectly, some periods, itâs just more normal. But in general, we will continue to improve on an apples-to-apples basis. So I would say the same is true this quarter. We compared to what we would have been the same type of feed in the past this quarter was better. I have mentioned a couple times in the past, we are really optimistic. We are optimistic about the ability to continue to improve our concentrate volume production volume, as well as quality. So we would expect that to continue in a non -- also in a non-linear fashion, little bits of ups and downs, but generally, they are getting better.
Carlos De Alba: All right. Thanks, Michael. And does this affect your realized price in any way or are you able to concentrate the lower feed to the traditional average standard that you typically do?
Ryan Corbett: Yeah. Carlos, we price on the contained area â¦
Michael Rosenthal: Andâ¦
Ryan Corbett: Sorry, Mike, just to talk about pricing, specifically the metrics that you see are on contained area, which obviously is what people are after and what we get paid on. And so, I wouldnât expect any of the changes to impact of price on a per ton of area basis. So, Mike, if you want to add anything else, please go ahead.
Michael Rosenthal: Yeah. I guess the part of the improvement we make is the ability to upgrade to the same or higher concentrate grade irrespective of what the feed grade is.
Carlos De Alba: Okay. Excellent. And just a last question from me is, can you comment on how the restart of the combined heat and power plant is going? And if you see the impact on energy cost that you mentioned in the press release continue or is this just more something that you saw in the third quarter that we should not count on that repeating in the coming quarters?
Michael Rosenthal: I can talk operationally, Ryan, if you end with the cost. We again operating the site of the combined heat and power plant in the first quarter of this year. It was a pretty large and in-depth process of re-commissioning. But we are really pleased with how itâs operating. Itâs operated very reliably, itâs provided also esteem to our process. So we are really pleased with how itâs going. We look forward to supplying the Stage II assets as well when and as we re-commissioning then.
Ryan Corbett: And from a cost perspective, Carlos, part of what you actually saw on a quarter-over-quarter basis in the element of the cost that we flag as sort of pre-Stage II commissioning cost, is the fact that we were able actually to bring down our cost per MMBtu pretty significantly quarter-over-quarter by looking at managing our natural gas exposure and hedges, and so, from that perspective, that was part of the reason that was brought in a bit. But in general, what you see is, we are operating the CHP somewhat purposefully inefficiently at this point by overproducing due to the fact that we wanted to get this asset, to Michaelâs point, ready and operating very reliably ahead of bringing the Stage II assets online. And so we have to purposefully really run it on a de-rated basis, which drive some level of inefficiency and so that inefficiency will decline as we bring the load from Stage II online.
Carlos De Alba: All right. Excellent. Thank you, Ryan and Michael, and congratulations on the commissioning, start of the commissioning of Stage II.
Michael Rosenthal: Yeah. Thank you, Carl. Next question?
Operator: Our next question comes from George Gianarikas from Canaccord Genuity. Please go ahead. Your line is now open.
George Gianarikas: Hi, everyone. Good afternoon and thanks for taking my question. I was wondering if you could possibly update us on your-- as we are approaching Stage II on your offtake agreements for oxide going forward. I mean, can you help us understand where you are oxide land geographically, is it mostly in China, is itâs outside of China, any color would be appreciated? Thank you.
Ryan Corbett: Sure. Hey, George. Itâs Ryan. I can start us off. We continue to see really strong demand for our oxide. Obviously, we have been on this mission to bring separated products to the United States for many years now. We are very excited that we are well on our way to that and we see no impediments to selling our Stage II products and key to our machine really is developing the ex-China supply chain. And in some ways that takes time. But at the same time, we continue to see really strong interest for that kind of customers as you are well aware there remains an ex-China magnet business predominantly in Japan and we continue to see strong demand for our product there. And a growing ex-China market who-- frankly are relatively starved for diversity of supply, they had one answer to-date. And so we feel good about executing into that opportunity. Obviously there will be a mix of destinations and our products will go to, and over time, of course, hopefully more and more of our side will be used in our own vertical integration strategy. So we continue to see a nice and exciting market opportunity ex-China. We obviously will have a mix of sales into China, and certainly, we will grow our own vertical business as well.
George Gianarikas: Thank you. And if I could just one follow-up, any visibility on China quotas, obviously, this year we already know what would happen, they increased by 25%. I am curious because itâs opaque you could help us understand a little bit, how you see that progressing over the next few years at the extent you have thoughts on that and what sort of capacity you see them having over the next call it two years to three years? Thank you.
Jim Litinsky: Sure. So, China, as you hit the nail on the head with -- China is opaque, itâs always hard to fully understand what is going on there. We do think they will continue to move quota reasonably with their industrial demand, you may have for me talk about this, but just to kind of clarify reiterate. We have seen what we believe is a sea change in the general industrial psychology where if you kind of think about the last 10 years versus the forward 10 years. The key focus is making sure that there is enough product for their downstream, particularly as you see some of the major manufacturers expanding globally and there were some announcements this quarter actually about some of the Chinese OEMs launching sales in Germany. And so, I think, the way, I mean, this is again, this is our house view, and itâs opaque. But I think the way to think about it is that, that quota will probably grow comfortably with Chinese industry. But then the question is and why we are so confident that we have such a tremendous opportunity here is, is that the rest of the world demand, supply chain demand, is going to need a home. And so when we think about that math with respect to what we produce and the availability and how challenging it is to get things online, we feel very confident that, again, itâs a commodity, so Iâd say that with all of the usual caveats, Iâd say, but we feel very confident that pricing will be stable and continue to grow quite a bit. And so, again, for what our opinions worth on that, we just think there is so much ex-China growth to happen that itâs a very bullish backdrop for our business. Of course, this quarter, last quarter, China is essentially shutdown. Europe is obviously in a very deep recession. You have seen this pullback, but I think that whatever the extent of this pullback in prices that we see out there, it just creates -- it sort of reflects of it, just creates that jump back effect for when things get going. Again, demand wise, that snapback should be pretty powerful.
George Gianarikas: Thank you.
Jim Litinsky: Yeah. Sure.
Operator: Our next question comes from Lawson Winder from BofA Securities. Please go ahead. Your line is now open.
Lawson Winder: Thank you, Operator. Good evening, gentlemen. Thanks for the update tonight. I wanted to ask with the natural gas hedges, it seems like those were very timely and wise thing to do. Can you share any color on the tenders, volumes or percent of total volume and price for which those were implied?
Michael Rosenthal: Thank you for the kind words about our management of costs there. Ryan, if you want to give some color. We havenât disclosed a lot on that. But why donât you maybe just help contextualize what that is?
Ryan Corbett: Sure. Iâd say that we locked in probably about half of our demand today, which would step down a bit to about a third of our demand over the next couple of months as we start to commission things, relatively attractive prices in sort of the low to mid $50 per MBTU. We have also looked at certain incremental hedges starting once our demand for gas starts to pick back up that would sort of bring this back up to roughly half hedged in a similar at a similar price point. Those are about three years in duration and so, overall, when you sort of look across the Board thatâs kind of roughly what I would think about.
Lawson Winder: Okay. Thatâs very helpful. And then, from this point forward, do you have any sort of sense on a per unit of NdPr, where you think the sort of cost will settle allow once you are up and running, so maybe 2024, 2025?
Ryan Corbett: Yeah. Lawson, we have an updated any of our sort of outlook or guidance on that. I continue to point you to the context that we have given over time and when we initially went public. So we donât have anything sort of more specific to point to at this point. Obviously there are lots of puts and takes there. Certain input prices have changed quite a bit. Our efficiency has got better. And so, certainly, puts and takes and a lot of known, unknowns, but at this point, I would stick to what we have already put out there.
Lawson Winder: Okay. Thanks for the color.
Ryan Corbett: Thank you.
Operator: Thank you. Our next question comes from David Deckelbaum from Cowen. Please go ahead. Your line is now open.
David Deckelbaum: Thanks for squeezing me in guys. Jim, I am actually interested in hearing some of your thoughts on there some macro movements right now. Have you seen any behavior changing on the part of Chinese refineries with where they would be sourcing feedstock from or attempting to preparing for MP processing their own concentrate in separating their own at Mountain Pass.
Jim Litinsky: Hey, David. So, great question. I think, itâs just so opaque in China right now given the fact that things are mainly shutdown. We historically have seen and havenât seen any change in the fact of, there are a number of refiners that one our product and so obviously at any point in time there is a number of them that are bidding for our product. As far as how some of those businesses will react when they donât have our product. We â I donât really -- we donât really have good color into that. I am certainly I would imagine itâs top of mind. And itâs certainly a concern and it means that our product will come out of the overall, obviously, when we switch on and are making oxides that will come out of the current market there. But we donât really have good color into what people might be doing, specifically, other than I would say that historically we have a lot of people who reach out to us, wanting various things offtake, long-term offtakes or whatnot, and that remains the case, but nothing major has changed on that front recently.
David Deckelbaum: Fair enough. And speaking of people reaching out to you, just wanted to ask on Stage III.
Jim Litinsky: Yeah.
David Deckelbaum: Obviously, you have an anchor customer with GM. As you guys have built this facility and very impressive timing at least in the Shell, we talked about all the IRA incentives to accelerate potentially Stage III. It sounds like you are getting inbounds from potentially interested customers. Are all of those customers, one, coming from the automotive segment, and two, how these customers, do they ever bring up the price and how they are thinking about, what they would be willing to pay relative to global baskets or is it just specific to what they were agreed to pay you on sort of a negotiated basis?
Jim Litinsky: Yeah. Sure. So what I would say on that is, itâs definitely not just auto. Itâs a number of the verticals. I mentioned some of the key ones, but itâs a variety of verticals, whether itâs wind or some of the others, even some that you might not expect so much. So thereâs definitely a diversity of reach out and parties who want to understand what it would take to buy from us and are getting educated and lots of conversations that we are having with a variety of them. I would say that thereâs certainly a range. Itâs -- we have noticed a material change over the last year, certainly even in just in the last six months, where before there was -- I think post-COVID and the semiconductor shock there obviously was a lot of interest and Germany â Russia-Ukraine happened and a lot of the supply chains have not gotten better. And I think that the practical reality of de globalization is really setting in and a lot more of the company has been aside from frankly just like the GMs that were sort of the first thinkers on this. And so there is a lot of discussion and interest, and then, of course, the IRA Bill set that into added interest. And we feel like we are in a great position in these conversations, because we have a unique amount of product and thereâs only so much we can execute. And so we -- and I know you have heard me say this, but I think itâs just really worth repeating is that, we believe that our constraint is only in our time and our ability to execute and we want to execute in a very high return on capital thoughtful way. We want to make sure that the Stage III business is not robbing Peter to pay Paul, where we have an attractive product and we want to make sure that we capture that value. But then if we are going to make investments downstream, we should have a very attractive return on that capital. And frankly, no one really disputes that. I think that when you have conversations with people, people understand that if we are going to invest capital, we should get a return on that. And we positioned the company to have the fortress balance sheet that we have and so we donât need to -- sometimes you will see people have to enter into deals that may be are half deal, half financing. And we just donât have those considerations, we positioned the company to think solely about what are the most thoughtful waves of buy, building and/or JVing to get this done right. And so thatâs a long-winded way of saying, we continue at this, itâs not a demand-constrained, itâs just what we think we can thoughtfully execute for our customers and partners. And I have made very clear that, I believe that one day our magnetics business will exceed the current expected implied output of today. So when you say -- if you look at our 2023 run rate number and you say that could be a 10,000 ton magnet business, just give or take kind of spit balling, there is no reason why we couldnât grow a business beyond that. Once we develop the leadership then I think we are developing in the magnetics business. Again that will take a lot of time, but the team is really amazing and growing by the day. And I think again just back to the slide 11, I am very proud of -- we just think about everything thatâs happening in this world and if you look at on the left, thereâs an empty on the right, we have got now the Shell and now thereâs a lot of hard work to go, I donât mean to blow, but we are moving really quickly and just building the scale that will give us leadership in this space in the West, really globally, so. Hope that answers your question.
David Deckelbaum: Thanks, Jim. It does. Thank you and good luckâ¦
Jim Litinsky: Yeah.
David Deckelbaum: â¦ for the rest of the commission and final construction.
Jim Litinsky: Yeah.
David Deckelbaum: Thank you.
Jim Litinsky: Thank you.
Operator: This concludes our Q&A session for today. So I will hand the call back to Jim Litinsky for closing remarks.
Jim Litinsky: Okay. Thank you, Operator, and thank you everyone. It was a great quarter and we have got a lot to do. So we will get back to work and everyone have a great night. Thank you.
Operator: Ladies and gentlemen, this concludes todayâs call. Thank you for joining. You may now disconnect your lines.